Operator: Good morning and welcome to Lazard's Third Quarter 2016 Earnings Conference Call. This call is being recorded. At this time, all participants are in a listen-only mode. Following the remarks, we will conduct a question-and-answer session. Instructions will be provided at that time. At this time, I will turn the call over to Judi Frost Mackey, Lazard's Director of Global Communications. Please go ahead.
Judi Frost Mackey - Lazard Ltd.: Good morning and thank you for joining our conference call to review Lazard's results for the third quarter and first nine months of 2016. Hosting the call today are Ken Jacobs, Lazard's Chairman and Chief Executive Officer; and Matthieu Bucaille, Chief Financial Officer. A replay of this call will be available on the Lazard website beginning today by 10:00 AM Eastern Time. Today's call may contain forward-looking statements. These statements are based on our current expectations about future events and are subject to known and unknown risks, uncertainties and assumptions. There are important factors that could cause our actual results, level of activity, performance or achievements to differ materially from those expressed or implied by the forward-looking statements. These factors include, but are not limited to, those discussed in Lazard's filings with the Securities and Exchange Commission, including our Annual Report on Form 10-K, Quarterly Report on Form 10-Q and Current Report on Form 8-K. Lazard assumes no responsibility for the accuracy or completeness of any of these forward-looking statements. Investors should not rely upon forward-looking statements as predictions of future events. Lazard is under no duty to update any of these forward-looking statements after the date on which they are made. Today's discussion may also include certain non-GAAP financial measures. A description of these non-GAAP financial measures and their reconciliation to the comparable GAAP measures are contained in our earnings release, which has been issued this morning. For today's call, we will focus on highlights of our performance. The details of our earnings can be found in our press release issued this morning and in our investor presentation, both of which are posted on our website. Following their remarks, Ken and Matthieu will be happy to answer your questions. I will now turn the call over to our Chairman and Chief Executive Officer, Ken Jacobs.
Kenneth M. Jacobs - Lazard Ltd.: Thank you, Judi. Good morning. Lazard achieved record operating revenue in the third quarter with strong performance across our businesses. Financial Advisory revenue reflected a higher level of transaction closings compared to the first and second quarters as we had expected. And Asset Management reached a record level of assets under management with net inflows of approximately $3 billion. Our ongoing Advisory work continues to include large, strategic and complex assignments for clients around the world. For the first nine months of 2016, our number of announced transactions valued at over $500 million has increased 5% even as the market decreased 9%. We continued to have a high market share of the largest announced transactions, those valued over $10 billion. Lazard's leadership in large, transformational deals highlight our competitive advantage, a truly global platform with strong local advisory teams around the world and a deep understanding of shareholder dynamics and cross-border regulatory issues. We continue to be active across our Advisory practices, and we are investing in the business. In the past two months, we have announced the strategic expansion for the Financial Advisory business in the Americas. We acquired an independent firm in Canada, as well as the remaining 50% of MBA Lazard, which fully integrates our Latin American operation. We see significant potential for long-term economic growth across the Americas, and we are in the strongest position of any advisory firm as it develops. Lazard now has the largest network of dedicated Financial Advisory offices in the Americas. Asset Management achieved excellent results in the third quarter. We continue to achieve a high level of gross inflows across our platforms. The net inflows were driven primarily by strategies in our Emerging Market Debt, Local Equity, and Multi-Regional Equity platforms. In a challenging environment for active managers, we have differentiated strategies in asset classes where active management can make a difference. We continue to successfully build out our investment platforms. Some strategies that have been bearing fruit include our quantitative and multi-asset solutions businesses. Matthieu will now provide color on our financial result and capital management, then I'll comment on our outlook.
Matthieu Bucaille - Lazard Ltd.: Thank you, Ken. Lazard's record third quarter operating revenue of $611 million was 3% higher than the record third quarter of last year. Operating revenue for the first nine months was 7% lower than the record first nine months of last year. On a constant currency basis, operating revenue results were substantially the same for the quarter and for the first nine months. Third quarter 2016 diluted net income per share was $0.85, both on an adjusted and U.S. GAAP basis. This compares to $0.93 per share for last year's third quarter on an adjusted basis, and $2.99 on a GAAP basis. Last year's GAAP number included a significant benefit from the partial extinguishment of our Tax Receivable Agreement obligation. Financial Advisory operating revenue was 4% higher than the third quarter of last year, but 20% higher on a sequential basis from the second quarter of this year, driven by a 38% sequential increase in M&A and Other Advisory. This reflected a higher level of transaction closing. Asset Management operating revenue was 1% higher than the third quarter of last year and 6% higher on a sequential basis, driven by higher average AUM, including net inflows of $2.8 billion in the quarter. Average AUM was $201 billion in the quarter. As of October 24, 2016, AUM was approximately $203 billion, a $2.8 billion decrease from the end of the third quarter. The decrease was driven by foreign exchange movement of $2.8 billion, with $600 million of market appreciation offset by $600 million of net outflows. Turning to expenses. For the third quarter, we continued to accrue compensation at a 56.5% adjusted compensation ratio. This is approximately 1 point higher than the full year 2015 ratio of 55.4%. As we've said before, this year's compensation ratio reflects higher expected deferred compensation amortization. Regarding non-compensation, the third quarter adjusted expense was $105 million, 2% higher than the same period last year, primarily reflecting higher Asset Management activity. For the first nine months of this year, non-compensation expense was flat with last year. Turning to taxes. Our tax rate for the third quarter was 24.4%, and for the first nine months of the year, it was 27%. For the full year 2016, we now expect our annual tax rate to be in the mid to high-20%. Regarding capital management, we continue to monitor our cash flow and capital allocation. As of yesterday, we have spent $255 million this year purchasing approximately 7.4 million shares, well above our minimum target of offsetting potential dilution from the 2015 year-end equity grant. Ken will now conclude our remarks.
Kenneth M. Jacobs - Lazard Ltd.: Thank you, Matthieu. I will provide some perspective on our outlook, and then we'll open up the call to questions. Our third quarter results support our expectations of a higher level of M&A closings in the second half of 2016 compared to the first half. Regarding the M&A market overall, we remain cautiously optimistic. Announcements pulled back earlier in 2016 as macroeconomic and geopolitical uncertainty dampened boardroom confidence. That said, European activity appeared to pick up after the Brexit vote and in recent weeks, activity has picked up in the U.S. as well. The factors we have talked about in the past for a sustained M&A cycle are still in place. Persistently low and negative interest rates through most of the developed world imply that the global disinflationary environment may persist for some time. Companies continue to be hard-pressed for organic growth and M&A is an important tool to grow and to rationalize their businesses. As we've noted before, the characteristics of this M&A cycle continue to play to Lazard's strength – large, strategically driven transactions often cross-border that require a broad and deep expertise across industries, practices and regions. In Asset Management, we are well-positioned for continued growth. We have a solid pattern of performance across our platforms. We have a broadly diversified set of strategies across these platforms. And our quantitative strategies are competing effectively in the passive ETF marketplace. Our institutional client base continues to be a long-term strategic allocator of capital. Despite market volatility for most of 2016, our clients were net buyers. To conclude, we achieved strong performance across our businesses in the third quarter. And as we anticipated, Advisory revenue remains back-end loaded this year. Our Asset Management business has momentum and a world-class team of investment professionals. We are maintaining our cost discipline and cash flow remain strong. We expect to continue deploying cash towards share repurchases and dividend. We remain focused on serving our clients well, while we manage the firm for profitable growth and shareholder value over the long term. Let's open the call to questions.
Operator: Thank you. We'll take our first question from Conor Fitzgerald with Goldman Sachs.
Conor Fitzgerald - Goldman Sachs & Co.: Good morning.
Kenneth M. Jacobs - Lazard Ltd.: Hi, Conor.
Conor Fitzgerald - Goldman Sachs & Co.: Hey. First question just on the $600 million in outflows, I think you said, at quarter-to-date. That's just a pretty big swing from what we saw in 2Q. So, any color you can give just on what changed in October?
Kenneth M. Jacobs - Lazard Ltd.: It's just lumpy to start with, Conor. I think the general trend has been pretty good for us this year. We expected to continue to be RFPs are good, performance remains good across a range of platforms. And I think we're feeling okay about close right now.
Conor Fitzgerald - Goldman Sachs & Co.: Yeah, that's helpful. And then if I take a look at just what your backlog implies for 4Q, it should be a very strong cash flow quarter, kind of potentially enough to even cover your special and regular dividend. Just given where you ended the quarter from a cash perspective, how should we be thinking about your propensity to do buybacks kind of in 4Q and maybe 1Q of next year?
Kenneth M. Jacobs - Lazard Ltd.: I think we've been aggressive at deploying cash to buybacks this year and I think we're going to continue to do that.
Conor Fitzgerald - Goldman Sachs & Co.: Got it and then maybe just one more if I could, and there's been a pickup in M&A in some of the Asset Management space, potentially ahead of the DOL rule. Just wondering if you have any appetite there to maybe kind of gain additional scale and more about bigger-term question, but how important do you view scale in the Asset Management business especially post-DOL?
Kenneth M. Jacobs - Lazard Ltd.: Yeah. I think, look, strategically for us it has to fit, it has to make sense and it has to add something to our business. So, we have a reasonably high bar, when assessing opportunities. I think we'll continue to have that high bar, but the landscape is changing, and I think it's something we have to pay attention to.
Conor Fitzgerald - Goldman Sachs & Co.: Got it. Thanks for taking my questions.
Operator: We'll go next to Ashley Serrao with Credit Suisse.
Ashley Neil Serrao - Credit Suisse Securities (USA) LLC (Broker): Good morning. Ken, post all these acquisitions, I was just curious where does Financial Advisory MD count stand and where else do you see opportunities to invest given the size of your franchise today?
Kenneth M. Jacobs - Lazard Ltd.: I'm sorry. What was the first part of the question?
Ashley Neil Serrao - Credit Suisse Securities (USA) LLC (Broker): Just how large is the franchise today? How many MDs that you have?
Kenneth M. Jacobs - Lazard Ltd.: Okay. We're – on the MD count?
Matthieu Bucaille - Lazard Ltd.: 144 for Financial Advisory as of September 30.
Kenneth M. Jacobs - Lazard Ltd.: Financial Advisory as of September 30. Look, I think, where we see a lot of opportunity right now is in the Americas to start, I mean that's part of the reason for the expansion into Canada and the consolidation of our activities in Latin America. The fee pool in the United States continues to be quite attractive, and we see a lot of potential for continued growth in our backyard in that regard. Europe is stable at the moment, and continues to be a good market for us. And I think we're having increasing amount of success in China at the moment.
Ashley Neil Serrao - Credit Suisse Securities (USA) LLC (Broker): Okay. And just hoping you could just – I know you've had a lot of inflows this year, but just comment on the competitive landscape. What are you seeing that's differentiating the franchise and perhaps thoughts on potential hires on the Asset Management side as well and developing new strategies?
Kenneth M. Jacobs - Lazard Ltd.: Look, I think that for a long time now, we focused on developing products for our clients that are differentiated and solved unique problems, which the client has in terms of allocating capital. And I think where we have succeeded over the recent period of time signifies some of the success we're having with that. A lot of our products are difficult to replicate, not impossible, but difficult to replicate with many of the passive investments that are particularly successful in the marketplace today. And we continue to try to drive new product growth in areas which compete well against those products, and also solve problems for our clients. And that's really been where the focus has been. The areas recently which has gotten a lot more attention is our value-oriented quantitative business and our multi-asset business. And we continue to look at strategies to complement our more successful strategies that already exist.
Ashley Neil Serrao - Credit Suisse Securities (USA) LLC (Broker): Thanks for taking my questions.
Operator: We'll go next to Brennan Hawken with UBS.
Brennan McHugh Hawken - UBS Securities LLC: Hi. Good morning. Thanks for taking the question. Just a quick follow-up on Conor's question about the quarter-to-date. Other asset managers highlighted October as a big reallocation month. Did that come into play for you guys? Is it a big reallocation month for you, too?
Kenneth M. Jacobs - Lazard Ltd.: Not particularly. I think our backlog is as strong as it's been in a long time, and it just hasn't been the case for us so far.
Brennan McHugh Hawken - UBS Securities LLC: Okay. Terrific. Thanks for clarifying that. And then, sticking with Asset Management, could you just remind us the percentage of your AUM that's in retail accounts, or exposed to retail market in the U.S.?
Kenneth M. Jacobs - Lazard Ltd.: Roughly 15% or so.
Brennan McHugh Hawken - UBS Securities LLC: Terrific. So impact...
Kenneth M. Jacobs - Lazard Ltd.: And then, just to amplify on the point I just made, yeah, just to put in some perspective, our unfunded business won right now is probably at an all-time high.
Brennan McHugh Hawken - UBS Securities LLC: I guess that's a comment back to the $600 million quarter-to-date and that – okay.
Kenneth M. Jacobs - Lazard Ltd.: Exactly, yeah.
Brennan McHugh Hawken - UBS Securities LLC: Great. Is there a frame of reference that you could point us to when it was – I get it, all-time high, so not really – there isn't a neighborhood, but is there a time when the pipe, the unfunded pipe, was looking particularly that robust and then – in the recent history, so we can use that as a gauge to take a look at flows in any particular quarter?
Kenneth M. Jacobs - Lazard Ltd.: I think that's hard to point to, but I think what I would say is, this has been a particularly good time for us in terms of wins, in terms of finding opportunities in the marketplace, and it comes in a particularly tough environment for a lot of others.
Brennan McHugh Hawken - UBS Securities LLC: Sure. No, that's very fair. And using that point and your position of strength and building on the comments, Ken, that I think you made here a few minutes ago about how so many of your products are very differentiated and hard to replicate with beta, many believe that in the retail market, as we shift into fiduciary rule, such strategies will be the parts and places in which active will continue to find a sustained place. And, given some of the pressures we're seeing on some of the more retail-oriented platforms in the U.S., have you considered the idea that you might be able to get a retail distribution platform quite cheap, in order to then position your well-placed products into retail wrappers, and now you can buy discounted distribution and even enhance your platform and expose yourselves to more growth opportunities?
Kenneth M. Jacobs - Lazard Ltd.: We should take this offline at some point. But look, I think the environment for Asset Management is going through a lot of change at the moment. And you can imagine we're pretty strategically focused as a firm when it comes time to advising our clients, and you can imagine we're doing the same thing ourself at the moment.
Brennan McHugh Hawken - UBS Securities LLC: Yeah, yeah. I, of course, didn't want to get into something that you can't speak to publicly, but...
Kenneth M. Jacobs - Lazard Ltd.: Point taken, though.
Brennan McHugh Hawken - UBS Securities LLC: Yeah, yeah. Okay, cool. Great. I just think it's a very cool opportunity. And then, I guess last one from me, is there a way, or can you help us think about growth there in the restructuring business? And it certainly seems as though comments broadly that we hear are, mandates are increasing. We're seeing some growth start to pick up for you all. How should we think about this business next year, given the environment that we're in, assuming we don't see any significant change?
Kenneth M. Jacobs - Lazard Ltd.: So, I'd focus on – the U.S. part of it is very much concentrated around what's going on in the natural resources sector. So, the best way to judge activity in that sector is going to be follow the oil price. And so, if you see a significant strengthening in the oil price, I suspect the restructuring business will start to tail off and if you see continued weakness or additional weakness in the oil price, I think you could see continued activity in that arena. In Europe, there hasn't been much activity because of the, just sheer amount of quantitative easing that's been going on and the availability of capital, but I think the thing to watch out for in Europe is just what happens in the banking sector over the next several months or so. That could actually lead to some pickup in activity in the financial services sector as an example.
Brennan McHugh Hawken - UBS Securities LLC: That's interesting color. Thanks a lot, Ken.
Kenneth M. Jacobs - Lazard Ltd.: Okay.
Operator: We'll go next to Steven Chubak with Nomura.
Unknown Speaker: Good morning, guys. This is Julian (20:58) filling in for Steven.
Kenneth M. Jacobs - Lazard Ltd.: Hi, Julian (21:00).
Matthieu Bucaille - Lazard Ltd.: Hello.
Unknown Speaker: Hey. So, to start off, looking at your performance this year, it appears that M&A and also firm-wide revenues are expected to be flattish for the full year. Do you believe that you can grow earnings in an environment where the status quo holds, like where industry volumes are resilient, but still declining off of 2015 peak levels? How should we think about the EPS growth trajectory if the current backdrop persists?
Kenneth M. Jacobs - Lazard Ltd.: Well, remember, there are two vectors to our business. There's the Asset Management business and the Advisory business. The Advisory business can be pretty lumpy as you can tell from even our performance in the first couple of quarters compared to the third quarter. So, I think 2015 was a spectacular year for M&A, 2014 was good, 2016 is good. I think you can see this being pretty lumpy. I think that we are very disciplined around cost, and we can continue perhaps to grow the top line, even in a lumpy environment by gaining share, but also by expanding our franchise in areas where we're underpenetrated. And for us, we're very disciplined about adding people because we like to make sure we're adding people that can really be successful, and we also want to be doing it on a basis where you can make money on the additions of those people. I'd say 2016 was a good year for investment for us. I think we have been more aggressive on the hiring front, which is ultimately a driver of top line growth and therefore earnings growth than we have been in a while, in part because we've seen more opportunity this year than other years. And obviously, Asset Management I think, again, is somewhat determined by how the market does, but also by your relative performance compared to the market and to other managers. And I think we've compared favorably in that regard. And I think realistically in a business like this, as long as revenue's growing, it's pretty easy to get efficiencies. At least we've demonstrated our ability to get efficiencies on the cost line and to drive EPS growth in a flattish environment. If it persists for a while, I think we'll figure out ways to do that as well.
Unknown Speaker: Okay. Cool. And actually just following up on efficiency, so you mentioned that – I saw that your adjusted comp ratio was 56.5% for the quarter, which implies that we should expect maybe a small dip in the fourth quarter. Is that still the expectation or how should we be thinking about that?
Kenneth M. Jacobs - Lazard Ltd.: I think that's math, and so I think you've done the math well.
Unknown Speaker: Okay. Cool. And lastly, just touching on the tax rate, so your tax rate was 27% in the year-to-date. It's at the low end of your guidance. Are you still committed to managing, as you said, to the high 20s to low 30s going forward and can you manage it towards to the lower end? And does that reduce the likelihood or the incentive to consider changing your corporate tax structure?
Kenneth M. Jacobs - Lazard Ltd.: Well, why don't I (24:03) let Matthieu touch on the first point, which is the tax rate and then I'll talk to you on the structure point, second.
Matthieu Bucaille - Lazard Ltd.: Yeah. Well, the tax rate for the year, I said in my opening remarks that the outlook for the year is around now mid-20s to high 20s, versus what was previous guidance of high 20s to low 30s, so we've come down a little bit.
Unknown Speaker: Okay.
Matthieu Bucaille - Lazard Ltd.: And the reason we've done this is because we have refined our assumptions and also achieved a few savings on certain initiatives.
Kenneth M. Jacobs - Lazard Ltd.: Okay. And on the structure, look, this is an ongoing area of review for us. Needless to say, our current structure has served us very well from a cash flow perspective and for the foreseeable future will serve us well from a cash flow perspective as well. There's a significant advantage in our current structure in terms of our statutory rate as well as our cash tax rate. So that is the first point I'd make. That said, there are obviously changes going on in the world, which could impact that structure and could make it either – could make it less attractive over time and alternatively there are changes going on both in Europe and there are potentially changes going on in the U.S. as well that could change the relative attractiveness as those jurisdictions as places where we could consider domiciling from a tax standpoint in the future. The problem is, is it's really in flux right now everywhere. And so it's really difficult to commit to any permanent decision at this time. So it's something we're reviewing carefully. In the meantime, we obviously get a great benefit out of the current structure.
Unknown Speaker: Okay. Thank you, guys.
Kenneth M. Jacobs - Lazard Ltd.: All right.
Operator: We'll go to next to Patrick O'Shaughnessy with Raymond James.
Patrick J. O'Shaughnessy - Raymond James & Associates, Inc.: Hey, good morning. I was hoping you could just kind of remind investors about the strategic merits of having a Advisory business combined with an Asset Management business. So, what's the strategic upside for Lazard? And then, what's kind of the financial benefit of putting those two businesses together?
Kenneth M. Jacobs - Lazard Ltd.: As I've said many times before, there are limited financial or cost efficiencies between the business; they run separately. The benefit is very straightforward. In financial services, brand matters. The Lazard brand is one of the most powerful brands in financial services. Both businesses benefit enormously from that brand. At different points in time and in different parts of the world, each contributes differentially to the building of that brand. And to date, we see great benefit in keeping it together and, frankly speaking, it's tough to envision how you would separate them.
Patrick J. O'Shaughnessy - Raymond James & Associates, Inc.: All right. Got it. And then a follow-up tax question for Matthieu. So, as I'm looking at slide 32 in your presentation, it talks about, you currently expect a 25% to 30% tax rate for the foreseeable future. So, just to kind of follow up on what you said earlier, not just – I heard (27:27) you made some adjustments that can lower your tax rate this year, but as we think about our models, that 25% to 30% range is what we should be using going forward, correct?
Matthieu Bucaille - Lazard Ltd.: That's exactly right.
Patrick J. O'Shaughnessy - Raymond James & Associates, Inc.: All right, great. Thank you.
Operator: And we'll take the final question from Devin Ryan with JMP Securities.
Devin P. Ryan - JMP Securities LLC: Hey, thanks. Good morning. Maybe just one on banker productivity right now, when you look at the productivity across the platform, what does that tell you about how good the backdrop is right now? And I've been trying to think about, are there areas that are maybe operating above what you think is kind of the normal trend, in areas that you think are maybe below that trend? And that's kind of part one, and part two is just, it looks like you're still finding some opportunities to grow. You have a couple tuck-in acquisitions. When you think about market share from here, is that expanding the existing banker productivity, if you will, or is it just doing more kind of expansion in areas that maybe you're smaller in, like these acquisitions or things like that?
Kenneth M. Jacobs - Lazard Ltd.: Okay. So first, on banker productivity, we tend to focus on productivity per employee. I mean that's really – professional employee really is the measure – we actually have another metric which is average, what we call associate equivalent, on the Advisory side. And what we're really shooting for is to do something close to $1 million on that, which I think is pretty much industry-leading in that regard, and we've been very good at managing towards that over a long period of time, and it feels like we're very close or exceeding that on the Advisory business right now. And frankly, it doesn't vary that much between geographies for us. Some of the startup geographies might be a little lower than that in the beginning, and the goal is to get it to that kind of range over a period of time. There is probably room. There's always room for additional productivity in a business like ours, just doing things smarter, better – better discipline around assignments you take on, the mix between buy side, sell side, how disciplined you are on fee discussions. I mean those are things which you just get better and better at managing the business, and your communication and your teamwork gets better, and all those things tend to improve, and that's something we're highly focused on. And I think we've had great success, and there's still room for improvement there, as there probably always will be. In terms of growing the business, it's really quite simple. You indentify people, and that's where you want to put bankers. And there are still very significant pockets of fee pool where we are not as represented as we should be, or could be, over time. And the question really is finding the right bankers to place in that fee pool. You just can't put anybody there and expect success. You really need, at least on our franchise, high-quality people to succeed. So, growth is going to come from some additional productivity, which I think we're pretty good at, although I think we're operating at a quite attractive level right now. And it's going to come from identifying, which we know where they are, fee pools where there's significant opportunity to place additional people. And then the key thing is finding the right people.
Devin P. Ryan - JMP Securities LLC: Very helpful. And I guess just thinking about that, you have done some acquisitions over time, when you look at those fee pools, without getting into maybe the specific areas, I mean do you think more acquisitions are likely here over the next several years just based on where you see the opportunities or is it easier to start a team with a small group and then build it out organically?
Kenneth M. Jacobs - Lazard Ltd.: I think it's really a mix of three things. One is where, first of all, we've got a really – one of the great strengths of Lazard – and I think there're only a couple of franchises in the world that can say this – is our ability to grow our own people. I think at Lazard, it must be close to over 60% of our partner universe are people that started here very early in their careers as analyst or associate. And that's something that is key to the success of a franchise like this long term. Second is hiring from the outside and there, I think just to succeed, you've got to be very disciplined. You can't do it in all markets and you have to be very differentiated in terms of the types of people you hire. And then you have to find the right place to put them to make sure that there's incremental upside. And I think we've done a pretty good job around that and we're very disciplined around that. And the third tool, as you point out, is acquisitions and I think there, again, there are lots of things to look at. There are things to look at in different places and from time to time, they make sense.
Devin P. Ryan - JMP Securities LLC: Got it.
Kenneth M. Jacobs - Lazard Ltd.: But it's going to be all three.
Devin P. Ryan - JMP Securities LLC: Okay, that's great and when you think about uses of cash – just coming back to that – obviously, you do have a couple announced acquisitions this year, so I'm just trying to think through how that will impact kind of what you're looking at at year-end. And you, obviously, had a couple of special dividends, which have been efficient ways to return cash. So, I'm just curious how those couple of acquisitions may be factoring as well and, obviously, your buyback (32:51).
Kenneth M. Jacobs - Lazard Ltd.: Yeah, the acquisitions are structured in such a way that there's minimal cash outlays, so I think that doesn't have much impact on our cash balances. It won't have much impact on our cash balances for this year at all. We're going to generate a lot of cash, second half of this year. We have been on record saying – and just to reinforce it – that we are going to be aggressively repurchasing shares, certainly at the levels they've been at. We'll continue to do so and then we'll make up our minds at year-end as to what to do with the rest of the cash at the time.
Devin P. Ryan - JMP Securities LLC: Got it. Okay. Very helpful. And then last one here, just I understand we still have a couple of months left in the year, but any early visibility in the performance of some of the alternative funds. I'm just trying to think into kind of fourth quarter incentive fee potential, things were covered a bit where if you kind of marked it today, you could see something there.
Kenneth M. Jacobs - Lazard Ltd.: It's hard to tell. I mean I think our guidance over the course of the year on this has just been – think about it, it's flat with last year and then we'll see where we are at the end of the fourth quarter. I mean these things can move around pretty dramatically in short periods of time.
Devin P. Ryan - JMP Securities LLC: Yeah, understood. Okay. All right. Thank you very much, guys.
Kenneth M. Jacobs - Lazard Ltd.: Okay.
Matthieu Bucaille - Lazard Ltd.: Thank you.
Operator: This concludes the Lazard conference call. We thank you for your participation.